Operator: Hello, and thank you for standing by. Welcome to the Allogene Therapeutics Third Quarter 2023 Conference Call. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be aware that today’s conference is being recorded. I would now like to turn the call over to Christine Cassiano, Chief Corporate Affairs and Brand Strategy Officer. Ms. Cassiano, please go ahead.
Christine Cassiano: Thank you, operator, and welcome to our call. Today, after market closed, Allogene issued a press release that provides a business update and financial results for the third quarter of 2023. This press release and today’s webcast are both available on our website. Following our prepared remarks, we will host a Q&A session. We ask you to limit your questions to one per person as we will keep this call to an hour and do our best to get to as many questions as possible. Joining me today are Dr. David Chang, President and Chief Executive Officer; Dr. Zachary Roberts, Executive Vice President of Research and Development and Chief Medical Officer; and Geoff Parker, Chief Financial Officer. During today’s call, we will be making certain forward-looking statements. These may include statements regarding the success and timing of our ongoing and planned clinical trials, data presentations, regulatory filings, future research and development efforts, manufacturing capabilities, the safety and efficacy of any of our product candidate, and 2023 financial guidance, among other things. These forward-looking statements are based on current information, assumptions and expectations that are subject to change. A description of potential risks can be found in our earnings press release and the latest SEC disclosure documents. You are cautioned not to place undue reliance on these forward-looking statements and Allogene disclaims any obligation to update these statements. I’ll now turn the call over to David.
David Chang: Thank you, Christine, and welcome to all listening to our call today. The last few weeks have been exciting in the field of cell therapy. From an uptake in AlloCAR T cells in the release of abstract this morning for the upcoming American Society of Hematology Meeting to witnessing the potential of CAR T therapy beyond [ph] oncology. It is clear that we are just at the beginning of what’s possible for patients with this modality. While indications outside of oncology have been the focus of the field as of late, something we are keeping a keen eye on. I will focus our call today on CAR T oncology. Throughout the decades, cancer therapies have come in great waves. Cytotoxic chemotherapy was the first wave spending most of the 20 century as fundamental discoveries in blood cancers gave wave to increasingly sophisticated combination therapies that could be used against solid tumors. The second wave was monoclonal antibodies, a scientific breakthrough that even today continues to fuel innovation with follow on technology platforms. I would argue that this wave also includes antibody drug conjugates by specific antibodies and by specific T-cell engagers. The third wave has been a more gradual emergence of targeted therapies in today’s omics era. Pathways that govern the behavior of our cells have been delineated, paving way to precisely interdict disease. We are now at the beginning of a fourth grade wave, the era of engineered cell therapy. The enablement of synthetic biology to harness the power of immune cells is now peaceful through the convergence of knowledge of cellular pathways and technological breakthroughs in gene editing and cell engineering. But this fourth grade wave can only be fully unlocked when industry makes CAR T accessible to all eligible patients. This was an important topic during recent discussions at both the Future Summit hosted by STAT as well as at the American Society for Transplantation and Cellular Therapy sponsored AcCELLerate Forum on a panel moderated by Dr. Peter Marks, Director of the Center for Biologics Evaluation and Research, and Dr. Marcelo Pasquini of the Center for International Blood and Marrow Transplant Research. At Allogene, we believe that the key to unlocking this potential is allogeneic CAR T. And if you will, creating the Konami code for cell therapy. For those who know video games, the Konami code was originally a simple sequence of buttons that would give a full set of power ups to make testing easier for developers. The modern day concept of this code is no longer just about making a game easier. Rather, it is now unlocking hidden expert modes enabling expansion of the game, and that is exactly how we are thinking about our platform. It is creating the Konami code for allogeneic cell therapy. A code that can be applied not just in the industries first potentially pivotal trial of an allogeneic CAR T product. But in other harder modes such as earlier line trials, solid tumors, not oncology indications and next generation products. And we look forward to the month ahead where certain scientific aspects of this code will come to light, unlocking new opportunities and broadening patient access to the fourth grade wave. Before I turn the call over to Zach to give a brief overview of what will be presented at the Society for Immunotherapy of Cancer and what to expect at ASH. I would also like to take the opportunity to officially welcome new member of our leadership team to his first Allogene quarterly call, Geoff Parker. In this especially challenging market, Geoff’s extensive experience in biotechnology across all aspects of finance and business development strategy will be the tremendous value to Allogene as we advance our critical pipeline assets and explore new opportunities. I’m confident he’ll be instrumental to our success as we navigate the next chapter.  I would now like to turn the call over to Zach.
Zachary Roberts: Thank you, David. While we focus on execution of our potentially pivotal ALPHA 2 global trial with Alloy 501A and relapsed refractory large B-cell lymphoma. Our 2023 data readouts have been designed to answer foundational questions that support the viability of an allogeneic CAR T product. Over the summer at the American Society of Clinical Oncology Annual Meeting, the European Hematology Association Congress and the International Conference on Malignant Lymphoma in Lugano. We shared the long-term durability data from our Phase 1 trials. That answered one of the most important questions in the field. Can an off-the-shelf CD19 CART product candidate demonstrate durability comparable to an autologous CAR T therapy in large B-cell lymphoma? In CAR T, the best surrogate for duration of response is a six-month CR rate. Based on the data from patients who received our Phase 2 regimen during the Phase 1 trial, we have now shown that our six-month CR rate is comparable to what has been reported in the pivotal studies of Kymriah, Yescarta, and Breyanzi. In all of these presentations, our safety analysis included all 33 CAR T naive LBCL patients who received Alloy product. Treatment was generally well tolerated with no cases of Grade 3 or higher CRS and no cases of ICANS, or GvHD. Cytopenias and infections were manageable and comparable to the experience with autologous CAR T therapies in patients with relapsed/refractory LBCL. We showed patients neutrophil and lymphocyte counts beginning to recover within the first month of infusion and achieving baseline levels with kinetics similar to autologous cell therapies, comparability of immune reconstitution in patients receiving investigational ALLO-501A to those who receive autologous products yields important insight into our comparable infection rate. But we wanted to dig deeper and address outstanding questions posed as it relates to the safety profile of ALLO-647, our investigational anti-CD52 monoclonal antibody when using conjunction with standard low-dose FluCy. That will be the focus at this year's annual meeting of the American Society of Hematology. At ASH we will have a comprehensive safety review of all 85 patients treated in the Phase 1 ALPHA and ALPHA2 Studies in LBCL and follicular lymphoma to characterize the overall safety profile when ALLO-647 is added to standard Lymphodepletion. Because of the risk of allorejection by the patient's immune system, creating the necessary window of persistence for an allogeneic CAR T likely require an enhanced approach to lymphodepletion. Different approaches have been used in other allogeneic clinical trials including high dose chemotherapy that might be associated with severe toxicity. The results of our trials reinforce our belief that in the LBCL patient population, our unique and proprietary lymphodepletion regimen can set the right conditions for our cell products to induce deep and durable remissions while keeping the safety in-line with approved autologous CAR T therapies. Our nuanced understanding of lymphodepletion based on the breadth of our trials has fueled our early stage research. This weekend we look forward to poster presentations at the Society for Immunotherapy of Cancer annual meeting highlighting our next generation Cloak and Dagger Technologies designed to help Enhance Engraftment, Expansion and Persistence of AlloCAR T Cells. In LBCL, while we continue to be pleased with the overall profile demonstrated in our trials, we fully recognize evolving practice patterns with autologous CAR T therapies moving into second line. Our CD19 program strategy contemplated this challenge and we are tackling this on two fronts. The first strategy is in the Phase 2 clinical trial execution and we've focused on increasing the global footprint of our trials. ALPHA2 is now open to enrollment in the U.S., Canada, Europe and Australia. Our Phase 2 EXPAND trial designed to demonstrate the superiority of an ALLO-647 containing lymphodepletion regimen over a regimen of FluCy alone is open to enrollment in the United States and Europe. The second strategy lies in the design of an earlier line trial and how we ultimately think this market will evolve. We are all very excited about our intended approach, when all aspects are locked we look forward to sharing with you more about this trial and believe it will address many questions you have about our overall approach to treating LBCL. Lastly, I'd be remiss if I didn't talk a bit about our Phase 1 TRAVERSE trial with ALLO-316. We do not take lightly the responsibility we carry to demonstrate the potential of an AlloCAR T in solid tumors. As such we have taken a very deliberate approach and are proud of the way in which we are conducting this trial. We've continued to gain incredible insights for CAR T and solid tumors that we hope will advance this trial into a potentially pivotal phase and even more importantly provide another option for patients with advanced or metastatic renal cell carcinoma. The importance of such data to our investors and the medical community at large cannot be understated, so we will now target our next update for an academic forum in early 2024. I will now turn the call over to Geoff.
Geoff Parker: Thank you, Zach, and good afternoon everyone. In my first few weeks as part of Allogene, I've had the chance to speak now with a handful of our covering analysts and I look forward to getting to know all of our analysts and investors over the next few months and years to come. In these early conversations, the number one question I get is why did I join Allogene? For me, there is a simple answer. I've been in this industry for over 30 years, and I firmly believe that this is one of the best management teams I've ever encountered. As a quick note regarding my background, I worked at Goldman Sachs from 1986 to 2009 in investment banking, ultimately running the West Coast Healthcare Banking practice for the last ten years of my tenure at the firm. Following my time at Goldman Sachs, in 2009, I decided to move to the company side to serve as a CFO as well as to serve as a Board Member with a number of healthcare companies, which I have now done for the last 14 years. Fast forward to this past summer when I received a call from David, I was immediately intrigued by the opportunity to be a part of this team and to play a role in fulfilling the promise of how allogeneic CAR T products could address the access gap to this important modality. Let me now turn to another of Allogene's strengths. Our balance sheet in a careful way in which we manage our resources. We ended the third quarter with $497.7 million in cash, cash equivalents and investments. As noted on our last quarterly call, based on current assumptions, we expect our cash runway to fund operations into the second half of 2025. In the third quarter of 2023, our research and development expenses were $46 million, which includes $6.7 million of non-cash stock-based compensation expense. General and administrative expenses were $17 million for the third quarter of 2023, which includes $8.6 million of non-cash stock-based compensation expense. Our net loss for the third quarter of 2023 was $61.3 million or $0.37 per share including non-cash stock-based compensation expense of $15.4 million. We continue to expect a decrease in cash, cash equivalents and investments of approximately $230 million for the full year 2023 and full year 2023 GAAP operating expenses to be approximately $340 million, which includes estimated non-cash stock-based compensation expense of approximately $80 million. This guidance excludes any impact from potential business development activities. With that, we will now open the call for your questions.
Operator: Thank you. [Operator Instructions] And our first question is going to come from the line of Michael Yee with Jefferies. Your line is open. Please go ahead.
Michael Yee: Great, thanks. Good afternoon, guys. Thanks for the question. I just wanted to ask on the ongoing progress of the potential pivotal trial, you said you had expanded into different countries. Can you just give us a sense of appreciated still early sort of the blocking and the tackling, the expectation for geographic mix? And the progress you're making in terms of the types of patients you think you are getting and whether there's any challenges with other competitors or other types of CAR T, which are things that are weighing on people's minds? And then as a follow up, you did mention that CD70 is important, and I heard that. Can you just clarify why the data would be 2024 not 2023? Maybe you could just shed some light on that. Thank you.
Operator: Please remain on the line. Your conference will begin shortly. Again, ladies and gentlemen, please stay on the line. We will begin shortly.
Michael Yee: Operator, are you still there?
Operator: I am, Mr. Yee. Just give them a moment. They're having technical issues and they will be back with us.
Michael Yee: Okay, thank you.
Operator: You're welcome. And Mr. Yee, could you do me a favor, sir, and go ahead and state your question again? They are reconnected now.
David Chang: I remember the question, just fine, Michael. Thank you so much, and apologies for the technical glitch there. So, I don't know how much you heard, Michael, so I'll just start over from the beginning. So regarding the first question around ALPHA2 enrollment or the potentially pivotal programs with CD19, we are really excited about the progress we've made on the regulatory front and now we have approval in multiple geographies for both programs and we are enrolling ALPHA2 in U.S., Canada, Europe and Australia and expand in U.S. and Europe. As far as the patient mix that we anticipate having, we're still bringing in patients from the U.S. and so we don't exactly know how this is all going to shake out in the end, but it will be a nice mix with a significant fraction coming from us and then I think probably a large number coming from ex-U.S. as well. And the types of patients that we are getting very much consistent with the patients that we have set out to enroll based on the eligibility criteria. And again we're really focused on enrolling patients who would have been very similar to those that were enrolled in the autologous pivotal studies from a few years back. For the second question on 316, so as far as the timing of the data update, we were sort of always planning towards the end of this year, beginning of next year. And as we mentioned in the prepared remarks that we are just really keen to make sure that we are executing the study well and then also updating with the data and taking that all very, very seriously and not rushing things. So we don't expect that the delay will be substantial in that data and we just want to make sure that it meets everybody's expectations. Hopefully you heard that.
Michael Yee: That's good. Yes, all good. Thank you.
Christine Cassiano: Operators, we have the next question?
Operator: Our next question is going to come from the line of Salveen Richter with Goldman Sachs. Your line is now open. Please go ahead.
Unidentified Analyst: Hey, this is [indiscernible] on for Salveen. Thank you for taking our question. Could you first provide an update on the progress of enrollment in the TRAVERSE study? Have there been any headwinds there? And then just a second one on the Cloaking [ph] and Dagger Technology, I guess what other programs are you thinking to incorporate the technology? And would multiple myeloma be a possible direction there given the profile to date? Thank you.
Zachary Roberts: Thanks very much. Again, this is Zach. So as far as the TRAVERSE enrollment goes I will say that the enthusiasm that we've been communicating all year since the announcement of the data at AACR earlier in 2023 has very much persisted. And in fact we are continuing to get incoming interest from sites that aren't participating in the trial actively. So I would say that as far as the level of interest goes, it's really quite impressive. And that's really coming down to that efficacy that we showed back in AACR, reminding everybody that the options for these patients are very slim. And the profile that we showed in April was pretty encouraging, to say the least. And on the second question around Cloak and Dagger, so the specifics around which CAR target we choose to pair with that technology. You're absolutely right; we can do it with either CD19 or BCMA. And you're right that the BCMA field is evolving, continuing to evolve and just the preliminary look at the data from ASH certainly does look encouraging for patients perspective. And internally, we have data to show that we can pair our Dagger Technology with either CD19 or BCMA. So we look forward to sort of sharing more specifics as far as next clinical candidate goes in the coming months. But the data that we do show at ccRCC [ph] is paired with the CD19. So that is a very nice proof of concept for what we can do with the Dagger.
Operator: Thank you. And one moment for our next question. Our next question is going to come from the line of Tyler Van Baron with TD Cowen. Your line is open. Please go ahead.
Tyler Van Baron: Hey, guys, thanks very much for the update. Can you talk about the ongoing enrollment of the EXPAND trial, and in particular with the ALLO-501A only arm? And if you think it will complete enrollment, given the lack of 647 being used; I guess my question is if enrollment ends up being increasingly challenged, which I believe it should, would you aim to go to the FDA by the end of next year with data that you have available around the same time as the ALPHA2 readout, and could that be sufficient?
Zachary Roberts: Thanks Tyler. Again, this is Zach. So as far as the enrollment to the two arms goes, there's no choice, obviously, that investigators or patients can make there, that it's a randomized trial, and so that's how that will unfold. And so we don't expect necessarily there to be a disparity in the enrollment, if the patients pull out of the study because they get randomized to one upon the other, that patient will be replaced. The second part of your question around what data and when would we go to the FDA? It's your question is very much centered on how we're thinking about it, so as the data from ALPHA2 begins to mature and we have something tangible to take to the FDA, I do think that we would go at the same time with what we have from EXPAND. And as a reminder, this study is supported with the Data Safety Monitoring Board who will also be able to weigh in on the emerging data from that. But that is absolutely part of our strategy.
Operator: Thank you. And one moment for our next question. And our next question is going to come from the line of Brian Cheng with JPMorgan. Your line is open. Please go ahead.
Brian Cheng: Hey, guys, thanks for taking my question. On CD70 what will be needed for you to take the program into the pivotal stage? Can you give us a preview on what will be deemed as the bar to gauge success early next year before dedicating resources to push this program to the next stage? Thank you.
David Chang: Thanks Brian. So what we're looking for, I think in this program is in the neighborhood of what we have shown already as it pertains to the CD70 positive patients. As you recall in the AACR presentation we had two groups of patients, one group whose CD70 expression was low or unknown. And then one that was measurable and that was a range of expression levels within that group, and in that CD70 positive group we saw a response rate of about 30%. So we think that that would be a meaningful improvement for what patients currently have on offer, and that includes some of the data that's been released more recently. So if we can come in around that mark, we do think that is a path towards a pivotal program.
Operator: Thank you. And one moment as we move on to our next question. And our next question is going to come from the line of Jack Allen with Baird. Your line is open. Please go ahead.
Jack Allen: Great. Thanks so much for taking the questions. Maybe first on EXPAND; I was wondering if you could comment on the geographic build out there? Are you fully satisfied with the footprint in the U.S. and EU? Do you expect to expand into additional territories there? And then just briefly on the Earlier Line strategy, made some comments around finalizing that and then hopefully providing some updates. Do you have any additional comments around timing as it relates to locking in that strategy?
David Chang: Thanks Jack. So as far as EXPAND goes we are still making progress there. We will intend to bring on Australia in the coming weeks there. So we are still working to expand the footprint there. And even within the countries in Europe we're still adding sites. So we're still in execution mode for both ALPHA2 and EXPAND and bringing on new sites to grow that footprint to support enrollment. And then the Earlier Line Study, so I will say again we're not quite ready to share the details there on what we're thinking. But suffice to say we are making good progress internally on the study concept, and we are pretty excited about the way that this is taking shape and how it's mirroring the developing practice patterns for diffuse large B-cell lymphoma. So we’re still on track, I think, to share details around the time that we’ve guided to. So stay tuned.
Operator: Thank you. And one moment as we move to our next question. And our next question is going to come from the line of Kelsey Goodwin with Guggenheim Securities. Your line is open. Please go ahead.
Kelsey Goodwin: Oh, hey, good afternoon. Thanks for taking my question. I guess first regarding the BCMA program. I guess can you provide any kind of updates there and maybe any learnings from the assessment that you guys have been doing regarding the manufacturing process? And then maybe secondly specific to the Notch partnership, I guess, is there any kind of qualitative update you could give or maybe some sort of timing as you kind of work with them on the iPSC strategy? Thank you.
Zachary Roberts: Yes. So thanks Kelsey for the question. Maybe I’ll take the first one and then you can take – and David will take the Notch question. So as far as the BCMA program goes, we are still those programs, we’re not enrolling patients into the BCMA. Currently, we are still sort of examining the manufacturing process. What I can say, obviously, I won’t go into specifics there. But we are learning as I think every CAR T company is that there are elements to the manufacturing process that are ripe for optimization. And I do think that what we are learning across our portfolio on the manufacturing side is that many times what we learn in one program can be translated into another. So we are sort of overall quite excited about the progress that we’re making on understanding that manufacturing within the context of BCMA and our other clinical programs.
David Chang: So, Kelsey, on the second question, this is David Chang. Notch Therapeutics is our partner in the iPSC area. And we’ve been working with them now for about four years. They have made a tremendous progress in differentiating the iPSC into the CD34 positive stem cells, and subsequently after that, but differentiating into the CD18 cells. So the progress is being made, and we are working to – continue to work very closely with my team to incorporate that technology into what we are doing. But given all the things that we are handling now, I think, it’s going to stay the research stage for a little bit longer.
Operator: Thank you. And one moment as we move on to our next question. And our next question is going to come from the line of John Newman with Canaccord Genuity. Your line is open. Please go ahead.
John Newman: Hi, there. And thank you for taking my question. I just wondered for the ALPHA2 trial, you’re allowing, excuse me, outpatient treatment at the investigator’s discretion. I’m wondering if you expect a substantial number of patients to be treated this way. I also have a question on the enrollment, the clinical sites for the trial. I’m wondering if you’ve been able to open clinical sites in the EU, Canada, and Australia, where autologous CD19 CAR Ts are not as widely available or used versus the U.S. to help with enrollment? Thanks.
Zachary Roberts: Thanks, John. So maybe I’ll answer the second question first. So that has long been part of our strategy for enrollment is to EXPAND into geographies, countries, and indeed clinical sites where autologous product is not as widely used, and that can be for many reasons, reimbursement related or access related, or we’re sort of encountering all kinds of different reasons why those patients are not getting access to this lifesaving therapy. So in those cases having access to a clinical trial such as ALPHA2 or EXPAND really is welcomed quite heartily by the patients and by the physicians. And sorry, John, I’m blanking on your first question.
David Chang: Outpatient.
Zachary Roberts: Oh, outpatient. That’s right. Thank you, David. So we are seeing actually a fair number of patients being managed fully outpatient, and that means both the lymphodepletion as well as the CAR T infusion. And it has been I would say very encouraging so far and many of the centers that have met with some success in their first few patients continue to have that either default position. Of course, if a patient needs to come in for one or more reasons, that’s no problem at all if patients can be admitted. But there seems to be a high level of enthusiasm around managing these patients outpatient. And in fact, some of the centers are actually, we’re having them talk to other centers to try to teach them how they’re managing this. So there does seem to be quite a high level of interest to handle this outpatient.
Operator: Thank you. And one moment as we move on to our next question. Our next question is going to come from the line of Kalpit Patel with B. Riley. Your line is open. Please go ahead.
Andy Fleszar: Good afternoon. This is Andy Fleszar on for Kalpit. Thank you for taking the questions. One of your ASH abstracts revealed the impact of recipient alloreactive CD8+ T cells in allogeneic CAR T rejection. Can you please elaborate on ways that this could potentially be addressed?
Zachary Roberts: Sure. Good question. So we’ve known as a – I think the field is known and certainly other allogeneic CAR T developers have known that when you take an HLA unmatched product from donor into a patient, that the risk of allorejection is there. And so I think everybody is crafting these strategies around how to mitigate this host versus graft response. What I think Allogene has got that’s quite exciting actually, is a robust and targeted selected lymphodepletion strategy that the ALLO-647 component and in when used paired with our CD52 negative CAR T cells that is how we have so far, I think rather successfully managed this host versus graft reaction. What that abstract is really showing is that this is something that we can further refine both from an LV strategy, but also we’re taking those learnings and folding them into our new product development and looking for ways to through gene engineering or other strategies help to prevent or mitigate that host versus graft and not relying entirely on LV. However, I would say that just what we’ve done so far around lymphodepletion as our clinical data will show is we’ve managed to create a great window of persistence for ourselves where we can see high levels of expansion and persistence, and that corresponds to durable complete remission. So I think Allogene is on the right track. But the point of that abstract is really that there’s probably more that we can learn and we’re taking that forward into our new product development.
Operator: Thank you. And one moment as we move on to our next question. And our next question is going to come from the line of Sami Corwin with William Blair. Your line is open. Please go ahead.
Sami Corwin: Hi. Thanks for taking my question. I noticed in the 10-Q that it was reported that there was some cases of a immune effector cell not lymphohistiocytosis like syndrome. I was wondering if you guys could elaborate on that a little bit. And if you think it’s related to the Dagger Technology at all, and if that’s what changed the guidance for data on the trial?
Zachary Roberts: Thanks, Sami for the question. And nice job with that mouthful of a new entity. So the way that we’re thinking about ICHS [ph] it is likely probably an umbrella term that has described an inflammatory process that is likely seen across CAR T products. And in fact, it’s been described in both heme programs, not our heme programs, but others as well as, other solid tumor programs. And so I think when we see sort of an inflammatory response we have begun to call that ICHS as opposed to HLH or CRS or ICAN, that sometimes this different description is a little bit more straightforward to use. So when it comes to the 316 program, we just want to reiterate just how careful we want to be as we are moving through this dose escalation. And so this is really the – I believe probably some of the best solid tumor data that has ever been shown for CAR T, especially for an AlloCAR T. And so as we are moving forward, we want to be careful that we mitigate any emergent toxicity and so that when we get to the expansion cohorts, we have a good sense of what to expect.
Operator: Thank you. One moment as we move on to our next question. And our next question is going to come from the line of Hartaj Singh with Oppenheimer. Your line is open. Please go ahead.
Hartaj Singh: Great. Thank you. Just got a couple of questions and thanks for all the updates. My question a little bit more broad one is, just on 501A, your CD19 program, with the move of, for example, Gilead into second line LBCL. Over the last year, are you seeing sort of changes in those patients that are in third line LBCL? Are there more patients? I imagine the patient pool is probably increasing, but where is bone marrow transplant relative to that? Have things changed as autologous therapies have moved up early in lines of therapy. And then secondly, just on a manufacturing follow-up, for your lead program, are you technically in what would be a commercial material process, meaning that something that you’d be able to file your BLA with or are you sort of still in that clinical material process? Thank you.
David Chang: Yes, Hartaj. This is David Chang. So let me give Zach a little bit of break because he has been answering question after question. Your first question about 501A program and the approval of autologous CAR T early lines, and how that’s affecting our study. I think, sort of taking it from that point. Certainly, this is something that we had expected as the CAR T makes a way into the earlier line. And we are seeing this both in the CD19 program as well as announced in the today’s ASH abstract, a lot of abstracts cutting in the multiple myeloma with the BCMA targeting CARs. So in terms of 501A ALPHA2 study, the fact still is that there’s a large number of patients who are not getting access to the CAR T. So that segment is still open for us to tap into ALPHA/ALPHA2 study. And one of the reasons that we are really trying to move to the earlier line as quickly as possible is to address the – this fundamental changes in the patient flow that we are witnessing in non-Hodgkin lymphoma. And we are certainly expecting that kind of changes in a multiple myeloma area. The second question about the manufacturing, this is something that we have worked on for a while just as our CFI manufacturing facility and it could potentially support the commercial launch. The process that we are using is really will be the basis for the commercial launch. So the answer to your question is yes.
Operator: Thank you. And one moment as we move on to our next question. And our next question is going to come from the line of Luca Issi with RBC. Your light is open. Please go ahead.
Unidentified Analyst: Oh, great. Thanks for taking our questions. This is Lisa on for Luca. Can you remind us of the timeline for when ALPHA2 and EXPAND could read out? And if you would have sufficient runway that would align with both of those data readouts? Thanks.
Zachary Roberts: Yes, so this is Zach. The – we are expecting our first look at the ALPHA2 data by the end of next year, and we expect to have some of the – some at least somehow EXPAND data around the same time. So as far as the runway goes, I’ll let others speak to it, but at the highest level, yes, we do have runway that would extend beyond those two data readouts.
Operator: Thank you. And I would now like to turn the conference back over to David Chang for any closing remarks.
David Chang: Yes. Thank you for joining us today and your ongoing faith in Allogene as we create the code for allogeneic CAR T. We will continue to do everything possible to validate your belief in our ability to make this a reality of patients. And look forward to sharing you – sharing with you important advances across our pipeline over the coming months. Operator, you may now disconnect.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.